Operator: Good day and welcome to the SITE Centers First Quarter 2022 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Monica Kukreja, Capital Markets and Investor Relations. Please go ahead.
Monica Kukreja: Thank you, Operator. Good morning and welcome to SITE Centers’ first quarter 2022 earnings conference call. Joining me today is Chief Executive Officer, David Lukes, and Chief Financial Officer, Conor Fenerty. In addition to the press release distributed this morning, we have posted our quarterly financial supplement and slide presentation on our website at www.sitecenters.com, which is intended to support our prepared remarks during today’s call. Please be aware that certain of our statements today may contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially from our forward-looking statements. Additional information may be found in our earnings press release and in our filings with the SEC, including our most recent reports on Form 10-K and 10-Q. In addition, we will be discussing non-GAAP financial measures on today’s call, including FFO, operating FFO, and same store net operating income. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in today’s quarterly financial supplement. At this time, it is my pleasure to introduce our Chief Executive Officer, David Lukes.
David Lukes: Good morning and thank you for joining our first quarter earnings call. We had an excellent start to the year with OFFO ahead of plan, another quarter of record leasing volume and the investment of the remaining proceeds from the $190 million distribution from RBI in three compelling properties. On top of all this, our balance sheet remains in great shape with debt-to-EBITDA in the low fives at quarter end, which is well-ahead of the peer group and the sector overall, which provides capacity for continued external growth. I'll start this morning discussing first quarter results, talk briefly about leasing and tenant demand and then discuss our investments and capital allocation as we look to grow our portfolio of assets in wealthy suburban communities. As I mentioned, first quarter OFFO was ahead of our budget on better operations, which Conor will provide more details on later. Our strongest tenants continue to take market share and our construction and property management teams have done a great job getting tenants open for business ahead of schedule, which is part of our out-performance this quarter. Moving to leasing. Tenant demand remains elevated across the portfolio, and we built upon our fourth quarter activity with another quarter of record volume relative to the last five years. Shop leasing, in particular, continued to surprise to the upside with a number of key deals with first-to-portfolio tenants, including several leases at our tactical redevelopment projects in Princeton, Boston and Portland. To put shop leasing volume in context, in the last 12 months, we signed 62% more square feet of shops than in 2018 and 52% more square feet than in 2019. The success and the quality of our leasing is giving us increased visibility and confidence on our allocation of capital, which I'll discuss later in my remarks. Looking forward, we have another 600,000 square feet at share in lease negotiations, which we expect to be completed in the next six months with similar characteristics to the deals we signed in 2021 and year-to-date in 2022, meaning a concentration on national publicly traded tenants with excellent credit. We continue to expect leasing to be the material driver of our growth over the next several years. Shifting to investments. We had another very active quarter buying out a partner in Orlando and adding convenience properties in Boca Raton and Scottsdale. I'll start with our two Florida acquisitions. With Casselberry Commons, we acquired another public-anchored property from our partner. We obviously know the property well and have significant leasing momentum with two recently signed anchors and elevated shop demand. The asset is accretive to our grocery-anchored portfolio and well above national average sales and an underwritten five-year NOI CAGR of almost 9% in an excellent submarket with great demographics. At shops at Boca Center, we acquired for $90 million, an asset that has all of the attributes of the convenience properties that we've been focused on and investing in. Excellent demographics with trade area household incomes of $126,000, convenient access and parking and a site plan that offers a mix of simple liquid shops in demand from a wide range of national, regional and local tenants. Despite a total GLA of just 117,000 square feet, the property draws from an actual trade area of over 600,000 customers, resulting in high tenant volumes as the restaurant sales alone averaged almost $1,000 a square foot. With lease-up, mark-to-market and a new pad opportunity, shops at Boca, has an underwritten five-year NOI CAGR of over 7%, which instantly adds to the company's growth profile. Pro forma for these two acquisitions, Florida now represents over 20% of the company's value. And there is an excellent representation of SITE Centers portfolio overall with a diverse mix of assets located in the wealthiest submarkets of the state and populated by national credit tenants. The portfolio includes convenience properties like the shops at Boca Center and shops at Addison Place in Delray Beach, dominant regional properties like the shops in Midtown, Miami, in downtown Miami and Winter Garden Village in Orlando. Grocery-anchored properties like Casselberry Commons in Orlando and the shops at New Tampa. The SITE Center's Florida portfolio has an expected five-year NOI CAGR of over 4%, average household income, 70% higher than the national average and an average expected population growth 200 basis points higher than the country overall. It's an irreplaceable collection of properties in a high-growth state, and we're excited about the prospects for additional investments in our other key submarkets. Moving to Phoenix. We bought another convenience property in the core Scottsdale submarket and are confident we can find more opportunities to grow our portfolio in this key market. The Scottsdale corridor has incomes of over $148,000 and significant population growth, attracting a wide range of tenants, including a mix of food service and service users. Going forward, I continue to expect us to be active in both anchored and unanchored assets that fit our growth in submarket criteria. That said, we remain encouraged by our investments in convenience properties, and this compelling subsector in open-air shopping centers, remains a key area of focus for the company. Over the last few years, we've invested over $300 million at a blended cap rate of roughly 5.5% in convenience asset with average household income of $117,000 and an underwritten five-year CAGR of 4% with minimal CapEx. Each of these properties, all located in key markets for the company, including Miami, Scottsdale and Atlanta will be drivers of the company's future growth. The convenience subsector is clearly benefiting from recent societal shifts favoring hybrid work and suburban housing growth. Our property data aggregated over the past few years is showing a distinct rise in customer traffic, especially in wealthier suburbs, where it’s difficult getting new retail construction approved or pencil given rising construction cost and it's driving outsized rent growth due to the scarcity of convenience retail locations close to where people are now living and working in greater numbers. You'll see us to continue to pursue this external growth strategy and we've been diligently focused on sourcing a pipeline of potential deals that fit our investment criteria and our return hurdles. Thank you to the entire SITE Centers team for an excellent start to the year. We've been hard at work for some of the time, positioning the company to outperform and remain excited about the prospects for the remainder of 2022. And with that, I'll turn it over to Conor.
Conor Fenerty: Thanks, David. I'll comment first on quarterly results, discuss our revised 2022 guidance and some of the moving pieces heading into the second quarter and then conclude the balance sheet. First quarter results were ahead of plan as David mentioned, due to a number of operational factors, including earlier rent commencements, higher-than-budgeted occupancy due to higher retention rates and higher ancillary income. These operational factors totaled about $0.01 per share relative to budget.  The quarter also included $675,000 of higher-than-expected straight line rent from the conversion of cash basis tenants and $1.3 million from payments and settlements related to prior periods. Both of these nonrecurring items totaled another $0.01 per share relative to budget. In terms of operating metrics, the lease rate for the portfolio was up 50 basis points sequentially and 180 basis points year-over-year with our lease rate now at 93.2%.  Leasing activity remains elevated across all unit sizes and based on our current leasing pipeline, we continue to see upside to the company's current lease rate and well beyond pre-COVID high watermarks. Highlighting our leasing velocity, the SNO pipeline increased to $18 million from $15 million last quarter. These signed leases now represent almost 5% of annualized first quarter base rent or over 6%, if you also include leases in negotiation in our pipeline. We provided our updated schedule on the expected ramp of the pipeline on Page Six of our earnings slides and expect over 60% of the leases commenced by year-end 2022.  Moving on to our outlook. We are raising our 2022 OFFO guidance to a range of $1.10 to $1.15 per share. Rent commencements, uncollectible revenue and transaction timing remain the largest swing factors expected to impact full year results and where we end up in the revised range. We are also raising same-store NOI guidance to a range of 3% to 4.5% adjusting for the roughly $14 million impact of 2021 uncollectible revenue.  Details on same-store NOI are in our press release and earnings slides. In terms of additional assumptions for full year 2022 guidance, RVI and JV guidance ranges remain unchanged, along with our assumption for roughly flat interest expense at SITE share versus 2021. In terms of investments, we continue to expect net investment activity of $100 million for the full year. Given, year-to-date net investment activity of $113 million, we are assuming that acquisitions are essentially match funded with dispositions through year-end.  Lastly, we have not budgeted additional reserve reversals in the bottom half of our guidance range. In terms of the second quarter of 2022, there are a few moving pieces to consider from the first quarter of 2022. First, as I previously mentioned, we had $1.3 million of nonrecurring uncollectible revenue and $675,000 of nonrecurring straight line rent in the first quarter. Second, we closed on the sale of the SAU portfolio subsequent to quarter end. These assets generated about $1 million in JV fees on an annual basis. Third, we settled the forward ATM shares in the first quarter, which will increase the second quarter weighted average share count by about 1.5 million shares sequentially. A summary of these factors is on Page 9 of our earnings slides. Ending with our balance sheet at quarter end, leverage was 5.1x, fixed charge was over 4x and our unsecured debt yield was roughly 21% as we continue to unencumber wholly-owned properties as mortgages mature. The company has just under $20 million of cash on hand and $855 million of availability on our lines of credit. This capacity will allow us to take advantage of future investment opportunities as they arise and to drive sustainable growth and create stakeholder value. And with that, I'll turn it back to David.
David Lukes: Thank you, Conor. Operator, we're now ready to take questions.
Operator: [Operator Instructions] First question today will come from Rich Hill with Morgan Stanley. Please go ahead.
Rich Hill: Hey. Good morning, guys. David, I wanted to go back to the comment that you made, and hopefully, I'm not putting words in your mouth, that leasing is going to drive your future growth. And so, I was maybe hoping to unpack where you think occupancy can go? I think occupancy is around 93.8% right now, is obviously a little bit lower. But as we think about occupancy relative to history, do you think you can back to 95.7% where you were in 2014, or do you think a peak in 2019 of around 94%, a little bit higher than that is a better proxy?
David Lukes: It's a really good question, Rich. No, you did not put words in my mouth. It's funny -- with another 0.5 million square feet or 600,000 square feet under lease negotiation right now, we just haven't really seen the risk of this level of demand in wealthy suburbs go down. And so I think our confidence level that we can get back to the high watermark is pretty high.
Conor Fenerty: Yeah. Rich, I mean, we made the comment, David, this quarter and the prior quarter as well. The high watermark for this portfolio, I think, was 93.9, three years ago. We think we can do better than that. If you recall, we held quite a bit of space offline for potential redevelopments, and we've either chose to proceed with those redevelopments or decide to release the space just in terms of a retail project. So we think we've said kind of 94% to 95% leased is achievable, and there's a bull scenario where we get as high as 96%. So again, just to reiterate David's point from our script in a minute ago, we think there's still considerable upside from a lease and occupancy perspective.
Rich Hill: Okay. Thank you. And I wanted to maybe talk about the interest rate environment and ask a two-part question, both in terms of what interest rates are doing to cap rates, if anything, at this point? And does that give you actually even more competitive advantage. So does it shake out some of the smaller, less institutional owners of open-air shopping centers. And then I recognize you're funding yourself, you're funding acquisitions with dispositions for the remainder of the year. But maybe we could just have a quick conversation about, if you prefer equity over debt at current valuations?
David Lukes: Well, I'll start with the cap rates and then Conor can take the equity side of the equation. But Rich, there seems to be in the last 60 days, a tale of two cities with respect to properties that are in the market. And I'll just remind you that 30,000 strip centers in the US, we own 92 of them. We're very focused on what we want to buy. So, I'm not sure that my comments are going to be taken as a proxy for the industry. But for what we're looking at, when we see properties that are fully leased, the tenants have long-term, and therefore, the growth rate of the NOI is somewhat low. I do think that higher borrowing rates will have an effect in the next month or two as we start to see sellers not being able to achieve what they could before because the competing buyers are levered buyers, and we're generally an unlevered buyer. The irony is that at the same time, we're buying assets like Boca that have a really high CAGR, and that's partly because of occupancy and partly because of tenant rollover and a mark-to-market. And so if you're getting rents that are rising along with interest rates, it means that to hold the same unlevered IRR, even in the face of rising borrowing rates, I do think that cap rates are holding up pretty well for growth assets, even though they might move a little bit for more flat stable assets. So, that's kind of where I'm seeing things in the last couple of weeks.
Rich Hill: Yes, that's exactly what I was looking for on sort of the question about unlevered IRR versus levered IRR. So, thank you for that. Conor, any thoughts on equity versus debt here?
Conor Fenerty: I was hoping you forgot about that part of the question. We're really comfortable with our leverage right now. As you know, it took us five years to get here, and we're looking to maintain what we think are prudent leverage and duration level. So, it's always going to be a mix. We've got retained cash flow. We've got disposition proceeds you referenced. We've got the SAU proceeds that post quarter end. So, it's always a balance. I would just say we're really encouraged by our balance sheet position at this time.
Rich Hill: Okay. Thank you very much guys.
Conor Fenerty: Thank you.
David Lukes: Thanks Rich.
Operator: The next question comes from Michael Bilerman with Citi. Please go ahead.
Michael Bilerman: Hey, thanks for that. Can you just talk a little bit about sort of the pipeline that you have right now from an acquisition perspective? And how much you have on the market from a disposition perspective? Just as you think about this net funding, I think you've been a little bit more excited on the acquisition front, and I'm just trying to better understand how much more disposition activity could you generate in the portfolio today to match that excitement, David, that you have in finding these assets in affluent suburbs?
Conor Fenerty: Hey Michael, it's Conor. I'll start and then I'll turn it over to David on the acquisition side. On the disposition side, a few things. As you know, we've always recycled capital, whether it's one to two wholly-owned properties per year and that generally has been about $25 million to $50 million of wholly-owned assets per year. And I don't think 2022 would be any different in that regard. The other piece and we talked about this last quarter with everyone in with you is on the JV side, where we got the SAU portfolio, which we announced closed at subsequent to quarter end. And obviously, some of our other partners are nearing debt maturities, which is a natural time for them to consider their long-term plans for their joint ventures as well. So, you'll likely see some joint -- additional joint venture properties sold on top of SAU. In terms of kind of the impact in guidance, it's really not really a mover for the year. It's probably half basis -- or excuse me, $0.05 in terms of a headwind just from some of the JV assets, but I'll let David expand on the acquisition side as well.
David Lukes: Yes, Michael, I would say that our confidence level in what we're seeing of assets that we would like to acquire is growing. I would shy away from trying to guide as to what the volume might be simply because we're most interested in this high rent growth convenience-oriented properties because they're responding best to a lot of the societal shifts that I think have taken place coming out of the pandemic. But the thing to remember is that most of the sellers are private sellers. A lot of them are 1031 sellers. It takes a lot of time to transact with them. And I do think that with rates rising, those types of owners are being incentivized to sell sooner rather than later. So I think John and I are pretty hopeful that the pipeline continues to grow things that we want to buy.
Michael Bilerman: And then, how do you balance, obviously, the asset sale proceeds you can sort of get market. But on the equity, you're obviously beholden to the market and given the fact that your leverage levels are in check and the stock obviously has been volatile and is, getting closer to NAV now than where it was earlier in the year. But how do you sort of balance, sort of goes to Richard's question a little bit, how you grow from here, from a capital perspective if the market is not willing to afford you the cost of capital to do it either on the debt side where rates have moved up or on the equity side where the stock still trades at a meaningful discount to NAV?
Conor Fenerty: Yeah, Michael, to your words, it's still your words, its balance. I mean, you hit the nail on the head. Look, we've got I think, a pretty good five-year track record for us of balancing debt equity sources uses. And then, I'm not trying to be evasive, but I mean that's what we'll do going forward. We do have a lot of retained cash flow. We do have some assets that are durable in nature and well leased, but still very attractive that we could recycle. We'll have more to disclose on that front to David's point of dispositions and acquisitions in the next three months. The other point is if you look at kind of the range of dollar values of what we bought, 90, so far has been the largest and $4 million is the smallest. That does make it a little bit easier. These aren't all $300 million properties. And so, the vast majority to kind of blend or look at a weighted average and closer to, call it, $25 million to $40 million, that does admittedly make it a lot easier to kind of achieve the balance that you referenced.
Michael Bilerman: The second topic is just on sort of frequency of visits and hybrid work environment and inflation. Just tying it all together, David, in your conversations with your retail tenants and you can go across the spectrum. Can you just share a little bit about what the data -- your data is telling to you, what the retailer's data is telling you more recently in terms of number of trips that people are taking to your centers, maybe average spend and weather inflation is impacting that at all, either from the retailer perspective and being able to be open or conversely, your ability to drive things?
David Lukes: Yeah. Well, let me talk about the two aspects of data that we do have is factual data. One would be customer visit, frequency and duration, right? That comes from the geolocation data.
Michael Bilerman: Yeah.
David Lukes: And the other piece of data that I think is really interesting is, we've done so many box leases in the last 12 months that when the tenant goes in for a building permit, we can pull their plans and see what the layout of the store looks like. And so those are two different pieces of information. And what they're telling us is that the customer visits to our properties are up from pre-pandemic call it, 10% to 15%. And that moves around a bit, because the denominator with only 92 properties it's not large. But in general, I think we're up around 10% to 15%. What's more interesting, Michael is that the duration, the amount of time that a customer spends on the property is actually down 10%. And -- and part of the -- and I think the reason that we're seeing that is the impact of last-mile fulfillment. And so let me tie that over to what we've seen in the tenant exhibit when they go in for building permits. There's no question that, that demising wall between front of house and back of house has moved since pre-pandemic. And it's moving to the shrinkage of the front of house, which we get a customer space and it's growing in the back of house, which would be sorting and distribution. So, I think, as we put some data together, we'll try and get something a little bit more robust for NAREIT. I think it's a pretty compelling story that the customer visits are more frequent, but shorter. And the reason, of course, is that most of our retailers are starting to use their footprint as last-mile fulfillment, which might explain why there's been so much anchor leasing in the last 12 months.
Michael Bilerman: Right. I guess, the worry is that, in some ways, you'd want some of them stay there longer to increase spend across retailers, right? The dwell time is obviously an important factor in driving aggregate sales and obviously rent.
David Lukes: I don't -- I think that's part of the big question is, how much does cross-shopping dictate profitability. I think, that's the real issue. So a lot of this comes down to basket size and so forth. What we do know is that the tenant balance sheets are in a lot better shape than they were before. I feel pretty good about EBITDA margins, four-wall EBITDA. And the retailers seem very specific about how many doors they have, what access they have to trucking. And so, I think that whole ecosystem has changed a little bit, but it's definitely making me feel more confident than less confidence going forward.
Michael Bilerman: All right. Appreciate the time.
David Lukes: Thanks, Michael.
Operator: The next question comes from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Hi. Thanks. Good morning. Just following up on investments. Conor, you talked about potential joint venture asset sales as part of the capital plan for the remainder of the year. And I was just wondering, if you can provide, or David, if you can provide an update and status of the remaining 23 assets in the Madison joint venture, which you discussed a bit last quarter and were reported to be on the market. Is there any update you can provide there on timing and institutional demand for those assets and whether future investments would be predicated on the wind-down and monetization of that venture?
Conor Fenerty: Yes. Todd, I would just say, as you know, we discussed sales and they close, and you're right, there have been some reports on potential asset sales. And again, to our point, from our comments last quarter and this quarter, debt maturities are a natural time for joint ventures to kind of choose their path or choose the direction. Obviously, for us, it led to some acquisitions in the fourth quarter and the first quarter from that joint venture, and it could lead to some dispositions for the course of the year. But, as you know, just given our policy, we'll talk about things as they close. But you're right to assume that that's a potential source of equity for us. And I don't know, if I answered all your questions, but I'm trying to think if I did.
Todd Thomas: Okay. And David, you talked about the 9% IRR at Casselberry and the five-year IRR at Boca Center. That was greater than 7%. What's the initial yield or year one yield look like on average for the assets that you acquired in the quarter? Just trying to get a sense and sort of bridge the NOI growth from acquisition during the course of the whole period.
David Lukes: Sure. Well, the assets we purchased this quarter, the going in cap rate averaged to 5.1% and the five-year CAGR was 7%.
Conor Fenerty: And, Todd, those are the five-year CAGRs we quoted, not the unlevered IRRs.
Todd Thomas: Okay. Got it. All right, makes sense. And then, David, you sound confident about the growth that you're seeing in assets that you're targeting for acquisition. But are you changing your return hurdles at all in the current environment or the way that you're underwriting future investments as you look ahead?
David Lukes: Yes. I mean, I think, that as we're starting to see more things come to market, I think some of the sellers and the brokers out there are starting to realize what we're looking for. We're just being pretty selective. So we're certainly not going down in our unlevered IRR expectations and given where rates are going, I'd like to see them move up a little bit.
Todd Thomas: Okay. All right. Thank you.
David Lukes: I mean, Todd, the real issue is that to generate the types of unlevered IRRs that we expect, you can really only do it in two ways, either through occupancy or rent growth. And occupancy is not easy to find. But at Boca, there were a couple of suites that were vacant that had active deals, so we're getting a lot of growth from shop leasing with a couple of spaces. But the other way to achieve that growth is through the turnover in the rents. And what's interesting about Shops at Boca, you think about putting $90 million to work at a property that's got an average base rent of about $38 a square foot. And a couple of miles away, in Miami, we're signing leases at $70 to $80 a foot. So, that's really where we're generating a lot of the growth is from the rising rents and a little bit of occupancy. And we'll be pretty picky about finding things that fit those hurdles, so that we don't get stuck in a situation where we've got a low-growth asset and that's what's going to put pressure on unlevered IRRs going down.
Todd Thomas: All right. Great, thank you.
David Lukes: Thanks, Todd.
Operator: The next question comes from Alexander Goldfarb with Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey. Good morning, good morning. Just two questions. First, following-up on the pricing and the markets out there, certainly seeing exposure in the non-traded REITs, and they pretty much look to be heavy cash buyers. So David, I was a little interested that you were saying that some of the competition you see is from levered buyers, because in speaking to some brokers and other just seeing the fund flows, it seems like it's a lot of heavy cash buyers. But more importantly, if you guys are buying sort of at a low-5, your stock is sort of trading north of 7%. Obviously, kudos to you to find deals. But at the same time, what do you think the public markets are missing as far as the story of retail rebound, because the headlines have certainly been good. Last week, online sales were down, physical in-store sales were double-digit positive. So the benefit of retail is well known, but yet there's just persistent disconnect, and that's at odds with the results that you guys are showing, with the cap rates where assets are trading and certainly where the private money is going. So, what do you think is missing as far as closing that gap? And is it just a matter of -- the public market just has a view that is at odds or are you guys confident that, that gap can be closed and the value realized in the public format?
David Lukes: Well, I would -- I'll try -- good morning, Alex. I'll try and not speak for the entire public market. But, I think when I -- when we meet with investors, the number one topic that I think there's a misconception is the long-term CapEx required to run this business with the trends that have changed coming out of COVID. And I do think companies like ourselves, are still burning through a lot of leasing CapEx. I mean, it's significant for the next year. And the reason is that there's a lot of occupancy uplift. But given inflation in rents, the ability for tenants to pass on a lot of cost to consumers, the lack of new supply, the difficulty in getting entitlements in wealthy suburbs, the cost of replacement. So, if you want to build a new shopping center has gone so high, I think that there's going to be scarcity of space in the future. So in my mind, the big change, pre-COVID versus post- COVID is that retention rates are going to be higher and CapEx is going to go much lower than it was historically. And that does, as you know, have a huge impact on IRR. So when we're competing against other buyers in the private world, I think they're more accurately underwriting CapEx in the future, and that helps them get more aggressive on pricing. And that is one of the differences, I think between public and private buyers is the expectation of CapEx.
Conor Fenerty: And Alex, to your point, I mean, to David's response earlier on the leverage unlevered question, I mean there's still, to your point, a number of unlevered buyers out there. So I think David is referencing simply the levered buyers are changing their underwriting. But to your point, there are no shortage of unlevered buyers.
Alexander Goldfarb: Okay. And then to be a classic analyst, we have to ask it on the flip side. There's a lot of – you guys speak about growth coming from leasing and the signed, but not yet commenced. And yet in reality, it takes a long time for occupancy to build, especially your sort of at 90-ish in place versus your expectation of exceeding the prior high watermark. So are we, as the analysts too optimistic about the pace seeing that occupancy grow and that this really takes many years, or is it your view that there's going to be the sudden acceleration that's going to get us to that sort of normalized occupancy a lot sooner than historically would be expected?
Conor Fenerty: Hey, Alex, it's Conor. I would just say, we lay out on page 7 of our slides, the commencement schedule. And you can see and in my comments, I think I said 60% of those leases commenced by year-end. They happen to be pretty back-end loaded, just the windows that retailers like to open. But I mean, we're forecasting effectively 60% of our SNO pipeline, which is 6% of our base rent to open this year. So you're absolutely right. It's taken a while to kind of build this, but we are forecasting pretty significant base rent growth starting in the fourth quarter and into 2023 and 2024. Was also fascinating if you look at the SNO pipeline, we're signing leases with 2023 and 2024 openings, right? It kind of speaks to David's scarcity point. But to answer your question directly it's a this year event. If you recall, Tammi asked the question last quarter about kind of base rent, the base rent build over the course of the year. If you look at our same-store NOI base rent – same-store base rent, excuse me, this quarter is about plus 2.5%. We expect that to build over the course of the year, which speaks to your question of kind of when these leases come online.
Alexander Goldfarb: Okay. Thank you.
Conor Fenerty: You’re welcome.
Operator: The next question comes from Samir Khanal with Evercore ISI. Please go ahead.
Samir Khanal: Good morning, everybody. I guess, David, maybe on the 600,000 square feet of leasing that's under negotiation, maybe talk around who are the tenants that are active in that space from a demand perspective? And what changes have you seen, if any, from a negotiation standpoint, whether it's terms pricing given the increased volatility from a macro standpoint versus maybe three to six months ago?
David Lukes: Sure, Samir. The pipeline of leases looks strikingly similar to the last few quarters, meaning there's a lot of chunky leases with boxes, they tend to be discounters. The pOpshelf, the Burlington, the TJ concepts, The Ross, a lot of discount activity going into these wealthy suburbs. And then there's a component, which I would say is service-oriented. We're still seeing a lot of demand coming from health and wellness, a lot of dentists and doctors and chiropractors and urgent care and so forth coming out of the urban areas and kind of chasing their customers into the suburban areas. And then the last piece of it is kind of a more recent growing shop demand. And there is a lot of new concepts, healthy concepts, particularly on the restaurant side. There's been a number of new IPOs in the past year that are in growth mode. So I would say, it's probably half to two-thirds larger discount boxes, and then you kind of get into the health and wellness and some of the small shop tenants. It's not very dissimilar from what you've seen in the last couple of quarters. The real question is what's going to happen towards the end of the year because we're running pretty low on box inventory. And I think that's one of the changes you'll see towards the end of this year is that will effectively be running out of boxes to lease. And so that's when you'll see us really have a lot more of the deal flow coming from the shops.
Samir Khanal: Thank you for that. And I guess, just curious on the convenience properties that you've highlighted, how should we think about the NOI growth of those centers? I mean, there's about 30% of leases that expire with that action. So what's the upside of rent that you think you can get maybe the mark-to-market opportunities there?
David Lukes: Well, it depends on the property, but I'm going to give you an example. In shops at Boca, I think, the mark-to-market is probably close to 50%. The question is how much of it can you capture. But with an ABR of $38 in place and leases in the remainder of our portfolio in South Florida and the kind of 40 50, 60, 70 range, the scarcity value is definitely causing a lot of rent growth. And that's one of the main theses behind convenience or an properties is that the number of tenants seeking a simple 30x90-foot wide space is very large. And so whenever you get the opportunity to renew a tenant who's naked with no options, the CapEx required for a renewal of zero and the CapEx required to replace a shop tenant is pretty low. So I think that a lot of that growth from that subsector is really coming from just general market rent growth and then a lack of CapEx required to buy that growth.
Samir Khanal: Thank you, David.
David Lukes: Thanks, Samir.
Operator: The next question comes from Mike Mueller with JPMorgan. Please go ahead. 
Mike Mueller: Yes. Hi. Conor, I think you said the bottom end of the guidance range doesn't include any reversals or prior period collections, I think, you got that right. But what's baked in there in the top end of the range?
Conor Fenerty: Yes. It's consistent with last quarter, Mike. It's still another $0.01. So effectively, if we have another $2 million reversals that would be the top end of the range. But in terms of what's on the balance sheet, we've got $13 million of AR, about half of that was reserved, so call it 6.57 and about half of that reserve, excuse me, is related to cash basis deferrals. So there's called another $3 million, $3.5 million of deferrals outstanding that we've had a 99% repayment rate to-date on deals it is a potential source of upside, but I would just give my usual caveat that it's reserved for a reason.
Mike Mueller: Got it. Got it. And obviously, a lot of talk about acquisitions and pricing and stuff. But your redevelopment pipeline looks like it's about $60 million to $70 million. And I guess, as you look out over the next few years, how do you see the aggregate size of that pipeline either changing or staying the same?
David Lukes: I think that -- this is Dave, Mike. Redevelopment can come from kind of defensive where you need to change the shape and the layout of a property to match current demand or it can come from densification, where you're trying to add square footage, whether it's in retail or whether it's another asset class. It sure feels like the rent growth coming out of the COVID years has basically made the numbers far more compelling to lease existing space. So I think in our portfolio, the scarcity value is making rents go up to the point that I don't see our redevelopment pipeline growing from here. I think we're really focused much more on just simple rent growth.
Mike Mueller: Got it. Okay.
David Lukes: That said differently, Mike. Sometimes what I say to myself is this business seems to have gone from a redevelopment business to a renewal business. And the renewals business is a lot easier to manage, and I'm actually looking forward to the next couple of years because being a renewals business is just a great position to be in, and I hope it lasts for a number of years.
Mike Mueller: Got it. Appreciate it. Thank you.
David Lukes: Thanks, Mike.
Operator: The next question comes from Floris van Dijkum with Compass Point. Please go ahead.
Floris van Dijkum: Morning guys. Thanks for taking my question. I want to follow-up on something that Michael Bilerman asked, and you mentioned something, David, about the dwell time being 10% down, while the visits were up. Is that to individual stores, or is that to your center?
David Lukes : It's to the overall property.
Floris van Dijkum: Okay. So that -- so you're capturing essentially the -- all of the tenants at the center. I just wanted to make sure I understood that correctly.
David Lukes : Yes. Correct. Correct. So I think -- I mean, Floris, if you just think anecdotally, and we're definitely working through the data, there's two input assumptions to remember, one is every time you're working from home and you order Uber Eats for lunch, somebody goes to our shopping center and is there for a whopping three minutes, and that counts as a visit. Another example would be you're working remotely three days a week. And instead of doing five airings on a Saturday, now you're doing two airings for three days in a row. And that's why I think that the tenants have figured out that proximity to the high income customers is what's generating the most trip generation, and that's where they're getting the sales. So for me, I think it has everything to do with proximity in last-mile fulfillment, and that's really why we're seeing the dwell time be a little bit lower.
Floris van Dijkum: Got it. That makes sense. The -- another question for you guys, in terms of Florida, you counted the fact that you're over -- just over 20% of value in Florida now. I mean, do you have like a target that you want to see in Florida? Do you think that can go to 30%, or -- and what other sort of -- I saw that you're in Tallahassee now, but just one asset. Is that a market that you expect to get greater scale in?
David Lukes : Well, I think part of the migration of our value is simply because we've had a couple of large joint ventures that were in kind of middle market communities that have gone away. And so the remaining portfolio has become more concentrated in our top 12 submarkets. So we don't have a numeric target for the state of Florida or for really any other region. We're pretty happy with our top dozen markets. And you've seen us start buying assets in those markets, including Arizona, but some of our other markets, too, like Boston and D.C. and Atlanta. When we find things we like, I think, we're going to go after those properties in our existing markets. I don't see us going to new markets. The Tallahassee property came in a small portfolio we bought from our partner. But I think we're finding specific property reasons to buy as opposed to a submarket reason.
Conor Fenerty : Yes. And Floris, just on the point on metros, I think, it's 90% of our base rent or value in Orlando and Miami. So that's -- it's really those two markets with additional assets in Tampa, Naples and to your point, one property outside of those MSAs.
Floris van Dijkum: Great. And then maybe last, just talk a little bit about -- more about the convenience focus that you guys have. I mean it's -- I mean, I think about it sort of the size of the asset is sort of like a typical PECO grocery-anchored centers, $20 million to $25 million, $30 million or something like that, if they're relatively small, lower CapEx, as you say, more upside in terms of marking rents to market. How should I compare that, or how should investors compare that to street retail where, again, you've got -- again, higher value per square, but typically, the beauty about traditional urban street play is that, again, more cracks to reset rents to market lower CapEx. Would that be an extension to your investment focus, or is that -- are you guys happy being focusing on the convenience because it's such a big potential market anyway?
David Lukes: I think what's interesting, Floris, is -- look at the two categories, street retail and convenience retail and you named a similarity, which is a little bit shorter duration, fewer options, and therefore, easier to capture mark-to-market and in general, lower CapEx because it's more of a renewals business, both for convenience and for street. The major difference between the two to me is significant and that is that street retail is generally pedestrian and convenience retail is convenience with the automobile. And with the changes in the pandemic and the cultural shift to hybrid work, which I think is long-standing, I do feel like investing around the macro theme of wealthy suburban communities with auto-centric trip generation is just a superior thesis. So, I do not see us moving out of convenience-oriented into street retail because I just think that the customer demand is going to drive higher rents. And in these communities, it's very difficult to entitle additional square footage. Construction cost is going up, which means for anybody to build competing supply, would have to charge more rent. So, I think there's a lot of favorable tailwinds to it.
Conor Fenerty: Yes, the only thing I'd add to that is fee ownership versus a condo, right? We own the land versus typically, it's a condo ownership and obviously, there's a difference there as well.
Floris van Dijkum: Great. Thanks guys. Appreciate the answers.
David Lukes: Thanks Floris.
Operator: The next question comes from Paulina Rojas Schmidt from Green Street. Please go ahead.
Paulina Rojas Schmidt: Good morning. You reported strong list, so obviously, there is still significant -- what are you hearing from retailers? Is there any change in -- are they -- or are you concerned at all about the higher inflation, higher interest rate environment, and a potential drop in consumer spending.
David Lukes: Good morning Paulina, those are great questions. I mean we hear anecdotal information from the retailers. I would say that their primary concern in the past 12 months has been to get into the locations and the communities they want to get into. So, finding space was probably most top of mind. The second kind of conversations we've had with them has a lot to do with finding staff. I think labor is sometimes not talked about as frequently as inflation for products, but I think labor inflation is a real issue for the retailers and I think it's part of the reason we've been focusing on national credit tenants because the larger tenants that have 401(k)s and they have dental and medical programs, they're able to hire staff. And that's why I think you're starting to see a lot of the national credit get tenancies signed, get leases signed and get open because they can hire the staff in order to occupy and staff those stores. Going forward, I think inflation is on everybody's mind and certainly on the minds of retailers. A number of our tenants are discount-oriented and so I think they feel like when inflationary environment occur, when the next recession comes, what normally happens is high-income consumers start to acquire more discount goods. And so I think the discounters want to be in those submarkets where they're going to capture some of that high-end consumer coming down market a little bit.
Paulina Rojas Schmidt: Thank you. And then how do you commence occupancy change sequential on a, sort of, same property basis? You think, you don't see a decline, but I'm not sure this is a clean more or less in property figure?
David Lukes: Paulina, I'm happy to discuss offline. So I mean our same-store commence is 90.2% in terms of what changed. The only significant pool change I can think of is we added Casselberry Commons, because we acquired it this quarter. But I can come back to you. I mean, I can't think of anything that was material that would impact the sequential change in the same-store commenced rate.
Paulina Rojas Schmidt: Okay. So then there was a question to time…
David Lukes: Paulina, actually, sorry, just to clarify, that same-store commence is including redevelopment. The number you're probably referencing was excluding redevelopment. But I can get you the apples-to-apples number, if you'd like offline.
Paulina Rojas Schmidt: Okay. Thank you. And then the last one. I think you mentioned you had been successful in getting tenants open ahead of schedule. Is that the main driver behind the same property guidance increase?
David Lukes: No, it's a little bit of everything. Yeah, sorry, I'm sorry to cut you off. It's a little bit of everything, you're right. For this quarter, the benefit to same-store NOI was in part due to earlier rent commencements. We also, I referenced had higher retention, less fallout this quarter. That has an impact over the course of the year. I think that far outweighed the kind of one-time benefit of a month or two here or there from an anchor opening. But both are impactful and material to us, but the far bigger impact was the full year numbers was greater retention and greater mark-to-market, those factors as opposed to rent commencements. We could have more upside over the course of the year from rent commencements. I mentioned as one of the swing factors for the year. That's one of the big three. But TBD on that front, we've had a great track record, kudos to our operations team, but there's nothing else built in on that front, but it could be a source of upside.
Paulina Rojas Schmidt: Thank you. That’s all from me.
Operator: The next question comes from Ki Bin Kim with Truist. Please go ahead.
Ki Bin Kim: Thanks. Good morning. So just going back to your acquisition. The cost base for this quarter was about $550 a square foot. And thanks for all the information on yields and CAGR. But what does this translate to better your knowledge in terms of occupancy costs? And if you get that 7% CAGR over time, what does that mean for year five occupancy costs in your underwriting?
David Lukes: Ki Bin, it's a very good question. It's so dependent on who's the tenant. So we've got Charles Schwab that came with the Scottsdale property. We've got restaurants doing $1,000 a foot in Boca. So it really, really depends on the tenancy. And when we acquire them, we do go through their occupancy cost to figure out who's at risk and who can handle more rent growth. So when we're turning properties away that we don't want to buy, it's usually exactly what you're saying. The rents may look good from a market perspective, but the tenant roster can't handle more bumps. So we're trying to find the properties where the tenants are generating enough top line sales that they can afford to get to market, which is arguably a lot higher than in-place.
Ki Bin Kim: Okay. And you mentioned the 5.1 going in yield and a five-year CAGR of 7%, which is, call it, 12% low, 12% unlevered IRR. It seems like with those kind of economics, capital would be all over that type of acquisition. So there's a couple of questions. Is it the way you acquired it? Is it a different set of underwriting that led you to be the winner on this type of deal? If you can just, kind of, provide some color around that?
David Lukes: I think it's only a matter of time before a lot more capital starts chasing similar type of properties. The reality is, when institutional or private capital allocates to an investment thesis, a lot of it is around who the anchor is and what that anchor does. And I think what's changed for us is that, the geolocation data that all landlords have access to now does kind of free you from having to go to a specific anchor and it allows you to go into unanchored or convenience-oriented properties. And so, I do think that having that data allows us to be a lot more nuanced about our acquisitions. And we are competing against a lot of other buyers. It's just that we're kind of willing to really work hard to source some of these smaller deals. And that is one of the challenges of this thesis is that the deal size does tend to be a little bit smaller. And so, it just takes a lot of legwork to get the deal pipeline built.
Ki Bin Kim: Okay. Thank you.
Operator: The next question comes from Linda Tsai with Jefferies. Please go ahead.
Linda Tsai: Hi. Thanks for taking my question. In terms of your earlier comments just now about going into convenience-oriented properties, because of geolocational data, you don't need an anchor. What would be, like, the mix of certain retailers that you would require in order to do this?
David Lukes: Well, we still, kind of, like -- we still like credit. I mean, I think in the next downturn, we're going to be happiest with buying credit. So you've seen everything we've bought. There's a lot of financial institutions, but we can measure their deposits. There's a lot of high-end credit restaurants. There’re a lot of Starbucks. There's a lot of Verizons, Wells Fargo, Chase, Schwab, et cetera, JPMorgan. So we are getting a lot of credit. I think that the non-credit tenants that we like to see tend to be service users or restaurants that have proven sale.
Conor Fenerty: When you think about the kind of common denominators of the existing portfolio, there's three factors: credit to David's point, our national tenants are 89% of base rent. The second is market. We generally have invested in markets that we already know or have existing assets. And the third is income. I mean, those are three pretty powerful filters that, to David's point, remove a lot of the investment subsets. So, again, you'll see the kind of -- as David mentioned in his forward-look comments, the common attributes are the market, the incomes and the credit, and that's what we're kind of investing around.
Linda Tsai: That makes sense. And then, last quarter, you talked about a 200 basis point increase in occupancy from the end of 2022 to the end of 2023. Do you think it could be higher than that?
Conor Fenerty: No, I think it's fair. I mean, to kind of Paulina's question, could we have -- or we do now have higher occupancy over the course of the year? Yes. But I still think the build and growth is very similar. If you look at our SNO pipeline, it's generally unchanged. It's just maybe you have a little earlier commencement here or there, or a higher kind of initial starting point. But it should, I think, generally kind of move higher over the course of the year, call that, 100 to 200 basis point level. Could we pull forward some potential commencements from 2023 into 2022? Yes, but we're not ready to kind of estimate or budget that yet.
Linda Tsai: Thanks. And last question, just the $3.5 million of potential source of upside from reserve tenants. Do you have any of that that could potentially benefit 2023 earnings?
Conor Fenerty: No. I think to Mike's question, we've got about, at the top end of the range, $2 million of potential reserve reversals that would include either just reserves we have in general or that can include the cash basis deferrals that I referenced. Just know that, as we get longer in this kind of collection cycle, the probability of collection drops, right? Additionally, if you think about a deferral we made with the tenant that implied a 2022 or 2023 and 2024 repayment, means that they probably had a higher level of stress during COVID as well. So, you're right, there's potential source of upside. I would just caution folks that, it doesn't mean we have $3.5 million in the bag. One is spread out over a couple of years and two, these are tenants that needed a longer-dated deferral for a reason.
Q – Linda Tsai: Thank you. 
David Lukes: You’re welcome.
Operator: [Operator Instructions] The next question comes from Tammi Fique with Wells Fargo. Please go ahead. 
Tammi Fique: Good morning. Just maybe following up on the convenience-oriented acquisitions. I'm just wondering, is the focus there geographically around existing assets? I guess I'm just trying to get a sense for the operating efficiencies of those smaller assets as well as your appetite for expansion into additional markets?
David Lukes: It's Tammi, I would say it's definitely within submarkets where we own existing properties and that's really for two reasons. One, as you mentioned from an operating efficiency standpoint, if we have property management and leasing covering that market anyway, it's kind of a way to scale G&A without having to increase staff. And the second is market information. If we're doing recent deals in Arizona and we see recent shop leases at $60 a foot and then we see a property for sale a mile away that's in the $30, that tells us something. So, I think the market intelligence is kind of equally as important as the G&A scale.
Tammi Fique: Okay. Thank you. And then can you just provide us some perspective on changes in the lending environment on both the secured and unsecured side? And how you're thinking about the term two maturities in terms of repayment or refinancing?
Conor Fenerty: Sure. Hey Tammi, it's Conor. Look, I mean to say that the lending market is volatile, is probably understatement. Our all-in rate or coupon on a bond deal could change it feels like 20 basis points in a day. So, look thankfully, we've got access to a wide variety of sources and some great banking partnerships. So, whether the term loan market, the unsecured bond market or the mortgage market, all are open today. But to your kind of genesis of your question, it's -- all-in rates are up between 75 and 150 basis points, depending on which market I just referenced.  So again, we thankfully got a very wide variety of sources, as I mentioned, between the kind of big three. And given our balance sheet, there's nothing needed right now. But you're right, with ’23, ’24, ’25 there's some sort of capital markets activity necessary in the next call it, 9 to 18 months that will take advantage of one of those three buckets. But it's, again, volatile is an understatement. And pricing is definitely out, call it round numbers 100 basis points in the last four months.
Tammi Fique: Okay. Great. Thank you.
Conor Fenerty: You’re welcome.
Operator: The next question comes from Haendel St. Juste with Mizuho. Please go ahead. 
Q – Haendel St. Juste: Hey there. Good morning. Thanks for taking my question. I guess I wanted to ask you about the preferred, I think coming due in June 6, and a quarter. Curious, given the change in your cost of capital, how are you thinking about redeeming that in terms of sourcing. So, any comments on that would be appreciated? Thanks.
Conor Fenerty: Sure. Hey good morning Haendel, it's Conor. So, you're right, they're prepayable at par in June of this year. As you know, there's no maturity on that. So it depends on kind of our cost of capital at time. And if you want to do anything, the night part is we don't have to do anything, given the moving rates, they're potentially even more attractive today than they were four months ago. But if we have a use of capital and that is the best use to take those out and we'll do so. But at this time, excuse me, there's no plan to do anything and we're excited about the perpetual nature of that piece of paper.
Q – Haendel St. Juste: Got it. Got it. Thanks. I think I heard you mention that there's still within the guidance, some recapture of prior period rents, I guess, can you quantify what's in the upper end of the guidance range? And then overall, what the remaining opportunity that's left here and if any of that is carried over into 2023? Thanks.
David Lukes: Yeah. So just at the top end, it's about $0.10. So it's $2 million of potential reserve reversals and that could be in the form of COVID deferral repayments or excuse me, cash basis deferral repayments or just other reserves we have on the balance sheet. So that could occur over the course of the year, to be pro-rata on the course of the year, it's kind of a TBD. There could be to my earlier response, additional reserve reversals in 2023 and 2024. We'll see, I would just again reiterate my point as we get further away from 2020 and those deferral agreements, the risk grows, right? And so they're reserved for a reason. So again, it's $0.01 in 2022. Could there be additional upside in 2023 and 2024? Absolutely. But again, I just – I wouldn't bank on it as of today.
Haendel St. Juste: Okay. Thank you. That's helpful. And then last one, just curious, maybe a comment earlier heard us a couple of times that you continuing to get your stores ahead of schedule, which helped you a little bit the quarter. But I guess I'm curious what maybe some of the secret soft there is in hearing some of the challenges with the labor shortage of supply chain issues. How have you been able to get the stores open? And is that something that you anticipate, you'll continue to be able to do into the back half of the year? Thanks.
David Lukes: Well, one input to that handle, is that when we budget for store openings, we budget for the last possible date that they're allowed to open in the lease. And it just so happens with tenant sales the way they've been the tenants are trying desperately to get open earlier. So they're certainly part of the assistance on that. The second is that, we're a large enough company with a dedicated construction staff that is sourcing some of the long lead items like installation and roofing materials and MEP units. They're just sourcing those long lead items when the lease gets signed as opposed to when they pull the building permits. So they've done a great job of getting the materials that we need. The challenge has been turning into labor. I think that's the issue. So going forward, I think we're certainly not banking on earlier rent commencements going forward simply because labor seems to be getting more and more difficult to find, particularly on the skilled side.
Haendel St. Juste: Thanks, again. Well, thank you, guys. Appreciate the comments.
David Lukes: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to David Lukes for any closing remarks.
David Lukes: Thank you all for taking the time. We'll talk to you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.